Operator: Welcome to Gevo’s Inc, Q4 2016 Earnings Conference Call. My name is Ashley and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I'll now turn the call over to Geoff Williams, General Counsel. Mr. Williams, you may begin.
Geoff Williams: Good afternoon, everyone and thank you for joining Gevo's fourth quarter 2016 earnings conference call. I'd like to start by introducing today's participants from the company. With us today is Pat Gruber, Gevo's Chief Executive Officer; and Mike Willis, Gevo's Chief Financial Officer. Earlier today we issued a press release, which outlines the topics that we plan to discuss. A copy of this press release is available on our website at www.gevo.com. I would like to remind our listeners that this conference call is open to the media and we are providing a simultaneous webcast of this call to the public. A replay of today's call will be available on Gevo's website. On the call today, you will hear discussions of certain non-GAAP financial measures. Non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in accordance with GAAP. Reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures is contained in the press release distributed today and which is posted on our website. We will also make certain forward-looking statements about events and circumstances that have not yet occurred including but not limited to projections about Gevo's operating activities for 2017 and beyond. These forward-looking statements are based on management's current, beliefs, expectations and assumptions and are subject to significant risks and uncertainties including those disclosed in Gevo's annual report on Form 10-K and in subsequent reports and other filings made with the SEC by Gevo including our quarterly reports on Form 10-Q. Investors are cautioned not to place undue reliance on any such forward-looking statements. Such forward-looking statements speak only as of today's date and Gevo disclaims any obligation to update information contained in these forward-looking statements whether as a result of new information, future events or otherwise. On today's call, Pat will begin with a discussion of Gevo's business developments. Mike will then review Gevo's financial results for the fourth quarter of 2016. Following the presentation, we will open up the call for questions. I'll now turn the call over to Pat.
Pat Gruber: Thank you, Geoff and thank you all for joining us today. I am going to focus on three things today. Number one, summarizing 2016 in terms of what we accomplished and what it means going forward. Two, painting a picture of what I believe it's going to take to make Gevo profitable and three, what we are planning to do in 2017 and why our goals for this year are important to achieving our future profitability. So then, as I look back in 2016, the best way to sum up 2016 is that it was a year of commuting customers, partners and ourselves that the isobutanol production technology fundamentally works on a consistent, repeatable basis in a commercially sized production line. We also continue the process of developing our markets, so they will ultimately be able to absorb at strong profit margins, larger isobutanol and hydrocarbon volumes, as we look to ramp up our production levels in the future. Recall that last year, we completed the installation of a full isobutanol production line that allowed us to produce finished product on site at Luverne, while keeping the rest of the plant producing ethanol. Once we learned to run this production line effectively, we were able to hit our throughput and variable cost targets. In short, the production systems worked as we expected them to. Earlier this year, we issued a press release describing some key operational highlights from Luverne in 2016, including in the fourth quarter we produced approximately 190,000 gallons of isobutanol, the highest quarterly production level in Gevo's history and we produced approximately 440,000 gallons for the year, that was also a record. In the fourth quarter, we produced a record number of batches in that quarter since switching Luverne over to a side-by-side motor production, achieving our targeted back-to-back five-day turnaround batch cycle times over much of the quarter and we achieved our variable production cost targets. All of this reinforces our confidence on two key fronts. First, the data we have generated at the plant is helping us design a fully built out isobutanol plant, which is what we're looking to do at Luverne, that is switching the plant to the sole production of isobutanol that is no more ethanol production. And second, we got much better visibility into our isobutyl production cost structure, which is very important considering all the pricing discussions we are having with our customers for large volume sales in the future. We aim to ensure that our production cost be low enough so that we can make a healthy profit margin. Besides the success we achieved in the production front, we also continue to make inroads in the market development front. Some of the highlights for the year were our renewable Alcohol to Jet Fuel or ATJ was included in the ASTM specification, allowing our fuel to be sold for use in commercial flights. Alaska Airlines flu our ATJ in several flights in 2016 including ATJ that was converted from isobutyl derived from wood waste sugars. We executed nonbinding agreements demonstrating interest to enter into binding agreements for larger future commercial volumes of our ATJ and isooctane with the likes of Lufthansa and Haltermann Carless. Isobutanol-blended gasoline and sold for the first time at retail pumps, specifically targeted towards on-road vehicles and we continue to sell our product into the Marina and off-road markets and importantly, partners like Musket began making the supply chain investments necessary to get our isobutanol into those markets. All of these developments are important to setting the stage for 2017 where we anticipate focusing more of our resources towards building our isobutanol hydrocarbon markets for the future, which I will discuss in more detail in a few minutes. So, 2016 went very well from a technology proof point and from a customer engagement perspective, which we aim to accomplished first before moving ahead with our long-term strategy. Turning to the next topic, I want to walk you through what we believe it will take to make Gevo profitable. To be really clear, the Luverne plant is not profitable and under the current side-by-side configuration of isobutanol and ethanol coproduction, we don't expect to be. What is true that we have driven down the variable cost of isobutanol production is significantly down, our isobutanol capacity is too small and ethanol margins are far too low to be able to absorb our fixed cost and utility cost efficiently to make that plant profitable. To emphasize, the strategic function of our one isobutanol production line is to prove out the technology and our cost targets at commercial scale and to provide sufficient volumes for us to begin to develop customers in markets for larger volumes in the future. In order to become a profitable company, we believe that we should convert 100% of our grind capacity and our fermentation capacity at Luverne to isobutanol, producing larger quantities of isobutanol and/or hydrocarbons, which we continue to believe will have a much stronger margin potential than ethanol. The reason we believe that Luverne is the best site to expand our isobutanol production is that it leverages the investment we have already made at the site, in particular in the GIFT systems that we have deployed there. Simply put, we believe that the Luverne plant represents the lowest cost capital route to increasing Gevo's overall isobutanol production. So, then what are our plans for Luverne, what do we envision? We plan to add additional isobutanol promanners similar to the one we built in 2016. We plan to add a new beer well, appropriately sized for the new isobutanol capacity. We plan to add additional distillation capacity. We plan to put all of these things into use for the full gift system that we already have installed. We also plan to build a hydrocarbon plant that produces commercial volumes of ATJ and isooctane. It appears to be a demand for our hydrocarbons at volumes and prices that would justify an expanded Luverne isobutanol plant and the hydrocarbon plant and customers seem to be willing to enter into longer-term supply agreements to purchase our ATJ and isooctane at these prices. We currently believe the isobutanol capacity of the expanded plant would be between 12 million to 16 million gallons per year, depending on the details of the customer contracts and the details of the engineering and how to stage the deployment of capital. For example, we might build out to 12 million gallons per year of isobutanol first; optimize, then deploy additional capital to get larger volumes, maybe even greater than 16 million gallons per year. Of this initial 12 to 16 million gallons per year of isobutanol, the majority will be processed further to make hydrocarbons. We currently are thinking of hydrocarbon capacity in the 8 million to 10 million gallons per year range. Although this number could get bigger if for example, we obtained a government grant. We still are in the midst of determining the product mix. How much isobutanol will we need? How much jet? How much isooctane? We will pin down the mix as we enter into the off-take contracts. We have several moving in interdependent pieces to pin down and we're making progress on it. We also currently are conducting engineering work to determine the ultimate production capacity at Luverne as well as the capital cost associated with the build-out project. We expect to be able to communicate publicly the estimated scale, configuration and projected capital cost for Luverne sometime in the second half of 2017. We believe that building out our plant like this is the very best way to make Gevo profitable. So what does 2017 hold for us? As I already talked about, 2016 was the year of proving our isobutanol production technology and that it works at scale. It was about gaining confidence in our production cost structures so it can responsibly sign contracts with customers that are good for them and for us. It was about getting our ATJ through the ASTM process, so that we can sell it into the marketplace. And it was about actually producing meaningful quantities of isobutanol so that we have product to allow us to really begin our market development efforts in earnest. Having our isobutanol line work and produce as expected is essential to our market development efforts. So, in 2017, our focus is going to be geared towards market development. Our vision remains the same, that we see massive market potential for isobutanol, ATJ, isooctane and renewable gasoline. Now we need to translate this vision into sales. So, what does that mean? Fundamentally, our biggest objective for 2017 is to secure binding supply contracts for a combination of isobutanol and related hydrocarbon products, representing at least 50% of the capacity of the expanded Luverne plant that I just talked about, the plant configuration that should make Gevo a profitable company and the contracts I'm talking about would be multiyear, we make it you buy it type of contracts, representing products worth tens of millions of dollars of revenue over the life of the contracts. We expect these supply contracts be for ATJ and isooctane and to a lesser extent for isobutanol. In our discussions with potential customers, we are not only talking about the volumes of product they need from expanded Luverne, but also for the next incremental volume beyond what we could produce at the expanded Luverne. I wish we had definitive agreement signed already, but we don't control the timing of our customers. Multiple potential customers are engaged with us. Generally, they're seeking better visibility on a few things before signing on the dotted line with us. Many of these specifically applied to Lufthansa and explains why it is taking longer than anticipated to get to abiding contracts executed with them. Some examples of these things are seeing us complete our balance sheet restructuring with a long-term solution for our 2017 notes. Mike is going to talk about that in just a bit. See another customer sign up for supply contract for the expanded Luverne. They know our success and profitability will be predicated on our selling ATJ, isooctane and isobutanol to multiple parties. As you can imagine, no one wants a sole supply situation and they want to see us work through the details of how to get our products through the supply chain and ultimately to the customers and what this will cost. While this is time-consuming, I can understand to get all the ducks in a row type of approach, we believe that this better sets Gevo and its customers up for much longer and more successful relationships. With everything we do, we keep a focus on trying to ensure that we create the opportunity for very large future volumes in the tens and hundreds of millions of gallons, which should lead to larger additional production facilities beyond Luverne. So, let's take a look at each of our core markets. Jet fuel remains a very exciting opportunity. We continue to believe that once our production is at full scale, we can have a very competitive product. Our jet fuel now meets the ASTM spec. It has beneficial properties such as more miles per gallon. We believe that it's very cost competitive, both from an OpEx and CapEx perspective and interestingly, it looks like it may be even elementary to some of the other renewable jet alternatives. For example, our ATJ may help the HEFA, that's a royalty base renewable jet fuel, product more easily meet the overall ASTM specification when blended together because our freezing point is extremely low. So, our product appears to be very attractive and as we've discussed previously, the jet fuel market is expected to be a good growth market. As you know in 2016, we signed a letter of intent with Lufthansa. This agreement established a price formula, the ranges of volumes, the range of timing and importantly the possible locations for the supply of the jet fuel. In 2017, we are looking to convert this into a binding agreement and importantly, we are looking to sign definitive supply agreements with other jet fuel customers. We are engaged with multiple parties who are buying our ATJ because we believe that having multiple customers for our ATJ creates a much better competitive dynamic for Gevo. It also decreases the risk associated with a highly-concentrated customer base. As discussed previously, isobutanol is one of the markets where we are also keen on developing. Isooctane is the eight-carbon long hydrocarbon that is a coproduct we produce when making our jet fuel. Isooctane is a major component of gasoline. We do sell isooctane in addition to our ATJ in order to make the hydrocarbon plant economics work. The good news is that we're seeing demand for significant quantities of isooctane to be sold on a we-make-it, you'll-buy-it, type of arrangement. Lufthansa and other airlines know that we will need to sell the isooctane from an expanded Luverne plant. So, we're really pleased to see Haltermann Carless step up with a term sheet to buy our isooctane. Haltermann Carless plans on using our isooctane in fuels and chemicals. We're now working to finalize the contemplated definitive agreement, potentially worth tens of millions of revenue or for the life of the contract, including potential near-term sales from the isooctane, we're currently producing from our demo plant in Silsbee Texas. Like with our jet fuel, we are currently in negotiations with other potential isooctane customers as well, ones that we haven't been in a position to disclose publicly to date. But we believe that jet and isooctane are more straightforward from a market about perspective and as a result, will be the primary drivers for our business in the next few years, we do believe that isobutanol for the direct lending into gasoline will continue to develop and is expected to be very large in the long run. In 2016, we established some beachheads for isobutanol sales. As an example, our product is now at Buc-ee stores in Houston, two of them. To do this, we had to arrange the supply channel, the trucks, the blending takes, the blend stocks, the certification, the market communications of the consumer level etcetera. So, a lot of work for us and our partners like Musket, but we're getting it done. We can see that there is demand for both off-road and Marine gasoline, but also its there for our on-road gasoline. With isobutanol in 2017, we'll be focused on developing additional channels to market, exceeding new markets in different regions of the country, so that they can grow rapidly in the future. We currently estimate that our maximum annual isobutanol production capacity at Luverne is over one million gallons per year. But as already mentioned, at our current production scale, our burn rate actually goes up when we produce our isobutanol. So, we will use our isobutanol judiciously to develop the markets, so that they're well seeded for the larger volumes once we have expanded Luverne. So, in 2017, expect us to attempt to match production levels in sales and expect that we will also need to inventory isobutanol to some level, so that we can provide surety of supply to our customers. This will be a bit of a balancing act as our current isobutanol inventory storage capacity is limited. We expect to sort this out in some way, either on our own or in conjunction with our value chain partners. As such, we're targeting producing approximately 500,000 gallons of isobutanol in 2017. This means that we may cease isobutanol production at some point in the year and only produce ethanol. The circumstances themselves will dictate. So, in summary, in 2017, we anticipate signing up customers under long-term supply agreements. We expect to finish off FEL2 engineering for the expanded Luverne plant. This should put us in a position to begin actual construction in 2018, assuming proper financing is in place. We will continue to try to optimize our isobutanol production process and drive the variable cost of isobutanol production down. On the financing front, we need to come up with a long-term refinancing solution for the 2017 notes due on June 23, 2017. We need to secure funding for the build out of Luverne. I think that Gevo becomes much more interesting for everyone as we pin down the customer agreements. Finally, in 2017, we can look to the future as a growth story and make real plans to become profitable as a company. Now I'll turn it over to Mike who in addition to going through the financials, will provide color on the financing activities we have done in the past months, Mike?
Mike Willis: Thank you, Pat. Gevo reported revenue in the fourth quarter of 2016 of $5.8 million as compared to $7.3 million in the same period in 2015. The decrease in revenue during 2016 is primarily a result of the production and sale of approximately $5.3 million of ethanol, isobutanol and distillers grains at the Luverne plant as compared to $6.5 million in the fourth quarter of 2015. This decrease in revenue was mainly due to lower ethanol production and distiller grain prices in the fourth quarter of 2016 versus the same period in 2015. During the fourth quarter of 2016, hydrocarbon revenues were $0.5 million, $0.2 million higher than the same period in 2015, principally as a result of the shipment of more isooctane during the quarter. Gevo also generated grants and other revenue of $44,000 during the fourth quarter of 2016, down $0.5 million as compared to the same period in 2015. The decline was primarily due to the completion of our project with the Northwest Advanced Renewables Alliance or NARA in the third quarter of 2016, which culminated in the successful flight with Alaskan Airlines that we announced last year, that used our ATJ derived from our isobutanol, using wood-based sugars as a feedstock. Cost of goods sold was $8.2 million in the fourth quarter of 2016 versus $9 million in the same period in 2015. Cost of goods sold included approximately $6.6 million associated with the production of ethanol, isobutanol and related products and approximately $1.6 million in depreciation expense. Gross loss was $2.3 million for the fourth quarter of 2016 versus $1.7 million for the fourth quarter of 2015. R&D expense was $1.5 million in the fourth quarter of 2016, which was relatively flat compared to the $1.6 million reported in the fourth quarter of 2015. SG&A expense for the fourth quarter of 2016 decreased to $2.6 million compared to $3.3 million for the comparable quarter in 2015, due primarily to a decrease of $0.8 million in salary and related expenses. Within total operating expenses for the fourth quarter of 2016, we reported approximately $0.1 million for non-cash stock-based compensation. For the fourth quarter of 2016, we reported loss from operations of $6.5 million, down $0.1 million from a loss from operations of $6.6 million in the fourth quarter of 2015. In the fourth quarter of 2016, cash EBITDA loss, a non-measure, which is calculated by adding back depreciation and non-cash stock-based compensation to GAAP loss from operations was $4.7 million compared with $4.2 million in the same quarter of 2015. Recall that in September of 2015, we reported that we were targeting an average quarterly cash EBITDA loss of between $3.5 million and $4.5 million per quarter in 2016 and we ended up averaging just under $4.1 million per quarter over the year. Interest expense for the fourth quarter of 2016 was $1.3 million, which was down $0.7 million as compared to the same quarter last year. The decrease was primarily due to lower principal balance on our 2022 notes in 2016 as a result of the $12.8 million of debt-for-equity exchanges we completed last year. During the three months ended December 31, 2016, we incurred a non-cash gain of $6 million from a change in the fair value of the derivative warrant liability. During the fourth quarter of 2016, we also incurred a non-cash loss of $0.6 million due to the quarterly mark-to-market valuation of the 2017 notes. There is no change in the value of the embedded derivatives in the 2022 notes as those derivatives have had no meaningful value since the third quarter of 2014. During the fourth quarter, we also incurred non-cash gain of $0.2 million as a result of exchanging an aggregate of $1.425 million principal amount of the 2022 notes for shares of our common stock in December. For the fourth quarter of 2016, we reported net loss of $2.3 million or a loss of $0.33 per share, based on a weighted average shares outstanding 6,840,316. This compares to a loss of $8 million in the fourth quarter of 2015 or loss of $8.87 per share. In the fourth quarter of 2016, Gevo recognized net non-cash gains totaling $5.5 million due to changes in the fair value of certain of our financial instruments such as warrants, convertible debt and embedded derivatives. Adding back these non-cash losses, resulted in a non-GAAP adjusted net loss of $7.8 million in the fourth quarter of 2016 or a non-GAAP adjusted net loss per share of $1.14. This compares to a non-GAAP adjusted net loss of $8.6 million in the fourth quarter of 2015 or a non-GAAP adjusted net loss per share of $9.62. As we disclosed in today's earnings release, we're pleased to report that on an all-out basis, our cash position exceeds the principal face value of our outstanding debt for the first time since the fourth quarter of 2012. As of February 28, 2017, our cash position was approximately $22.6 million and our total debt outstanding was $17.7 million. Having a stronger balance sheet is so important to moving our business forward. Our historical liquidity challenges have proven to be a significant obstacle for us and we try to negotiate agreements with potential customers and partners. So, we believe that a recapitalization or by our senior secured debt is reduced and/or the maturity date is extended and a sufficient amount of working capital is provided to fund operations would reduce the current liquidity risks for Gevo. And we still have to come up with this longer-term capitalization solution with Whitebox, the holders of our 2017 notes. However, we believe that we have a good line of sight to making this happen. It's important to remember that we already negotiated an extension of the maturity date for March 15, 2017 to June 23, 2017, which we believe demonstrates Whitebox's willingness to be constructive in helping us develop our business by providing more time for us to find a longer-term capitalization solution that we believe is in the best interest of Gevo and its stakeholders. As we already announced, the terms of the extension included amongst other things; one, an increase in the coupon of the 2017 notes by 2% to 12% and two, the requirement that Gevo pay down $8 million of principal on the 2017 notes, $2 million on each of March 13, April 13, May 12 and June 13, all of 2017. but with an option for Gevo to prepay all $8 million at any time in our sole discretion. In addition, we also agreed to pay Whitebox 15% of the net proceeds from our next underwritten public offering that would be completed prior to June 23, 2017 and which would also be used to pay down the principal balance of the 2017 notes. On February 17, 2017, we did close an underwritten offering of common shares and warrants that raised gross proceeds of approximately $11.9 million, not including any future proceeds from the exercise of the warrants. In this transaction, we issued 5.68 million Series G units with each Series G unit consisting of one share of common stock, a Series K warrant to purchase one share of common stock and a Series M warrant to purchase one share of common stock. We also issued 570,000 Series H units with each Series H unit consisting of pre-funded Series L warrant to purchase one share of common stock, a Series K warrant to purchase one share of common stock and a Series M warrant to purchase one share of common stock. Subsequent to that equity financing, on February 23, 2017, we decided to pay down the principal balance on the 2017 notes with 15% of the net proceeds from this offering along with the $8 million in prepayments under the supplemental indenture for an aggregate total payment of $9.6 million, which reduced the principal balance on the 2017 notes to approximately $16.5 million. Also, we made headway in reducing the principal amount outstanding on our 2022 notes. In December 2016, and January 2017, we entered into private exchange agreements with holders of our 2022 notes to exchange an aggregate of $9.8 million of principal amount of those notes for an aggregate of 2,407,214 shares of our common stock. These exchanges reduced the outstanding principal amount of the 2022 notes to $1.175 million. As a result of the transactions, at February 28, 2017, we had approximately 14,910,334 shares outstanding. And with that, I would like to thank all of our shareholders for their continued interest and support of Gevo. So, let's now open the call up for questions. Operator?
Operator: Thank you. We'll now begin the question-and-answer session. [Operator instructions] And from Rodman & Renshaw we have Amit Dayal.
Amit Dayal: Thank you. Good afternoon, Pay and Mike. Congrats on all the progress you've been making in getting Gevo to commercialization. In regards to this [Agri-Energy] facility, is most of the CapEx related to capacity expansion here already taken care of or is there any additional spending required here?
Pat Gruber: In order to build out the capacity for this isobutanol do you mean?
Amit Dayal: Yes.
Pat Gruber: We would have to add new fermenters and we would have to add a new beer well and the distillation column modify the distillation columns and that would require us new capital spending.
Amit Dayal: Okay. And this is for the Silsbee facility right.
Pat Gruber: No. No. This is in Luverne.
Amit Dayal: Oh! This is part of the Luverne effort. Okay. Got it.
Pat Gruber: We already have, so we already have the GIFT columns installed and so we can leverage those. We have a bunch of the infrastructure installed and the grind installed. And so, what we would be doing is using the grind capacity of Luverne to produce exclusively isobutanol and to do that, we need to add a couple fermenters, couple free fermenters.
Amit Dayal: Got it. Can you break down these 500,000 gallons of isobutanol that you are targeting for 2017? Can you breakdown which segment these are going to or maybe customers these are going to?
Pat Gruber: Yes, ballpark wise, what this will go to is we have the capacity of Silsbee is collectively about 70,000 gallons and that's between jet fuel and isooctane. That's a ballpark number. So that would probably take closer to about 100,000 gallons of isobutanol headed that direction to Silsbee. The rest would be sold into the gasoline blend stock market.
Amit Dayal: Got it. And in regards to the HCS agreement, you're looking to sell $2 million to $3 million worth of product to them. Is the pricing for this already set or are you still in the process of negotiating these things?
Pat Gruber: It's set. So, one of the -- the approach that we take when we do these LOIs is that we spend quite a lot of time working with the customers on the pricing to make sure that there's absolutely no missed expectation. So often we see people promise on all sides. We see people promised but just simply it can't be done. It's not real. So, we focus on that and then the ranges of the volume and so both Lufthansa and the Haltermann Carless agreements have those things pin down and of course Haltermann Carless already has been buying product from us from our hydrocarbon plant Silsbee.
Amit Dayal: Got it. And then going back to the 8,000 gallons again, if you see demand that exceeds this volume, will it be captured in terms of our capacity or will they be really deliver additional quantities depending on the demand environment?
Pat Gruber: We could. We can make more. Our capacity for the plant, we've already proven it individual unit operations. We've actually tested them up to 1.5 million gallons per year. Collectively we run them at about a million gallons per year. We did that in the last quarter as we just discussed in the presentation. So, we can run it quite a lot more. The problem is that because of the fixed cost nature of the plant, we lose more -- we burn more cash with the more volume that we produce. So, it's one of the balancing acts that we'll have to work through. We want to develop the markets, that's the most important thing is to make sure that we have enough of the product seated in multiple markets so that as we add capacity, it can grow quite rapidly. That's what we're shooting for. If someone wants to pay a higher price for it, then yeah, we could produce a lot more. So that's not the limiting factor, is the standard production capacity issues in any way. This is simply a case of doing the balancing act of what do we need to do to be commercially successful, feed the markets, grow the business without burning too much cash.
Amit Dayal: Understood. So, I guess the margins potentially getting back to if we sell beyond the 500,000 gallon volume levels, but you have probably a good handle of the margins up until the 500,000 gallon limit I guess.
Pat Gruber: No, I would say it's that we have a good handle. It's a batch-wise process and so overall, we have a good handle on the margins all the way through. It's just simply that we cover the variable costs that we believe the pricing covers the variable cost. It does not cover -- the selling prices do not cover all the fixed cost that we would have allocated to that. And so, what happens is that it's just simply a case of we can -- it's a balance -- it's just simply a balancing act we have to choose along the way.
Amit Dayal: Understood. All right. Those are the key things I had. I'll take my other questions offline. Thank you so much, guys.
Pat Gruber: Thanks Amit.
Operator: Thank you. [Operator instructions] And we have no further questions at this time.
Pat Gruber: All right. Thank you, everybody. Thanks for joining us on the call today.
Mike Willis: Thanks, everyone. Bye, bye.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.